Operator: Good morning. My name is Chris and I will be your conference Operator today. At this time, I would like to welcome everyone to the Poly Q3 fiscal year 2022 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. . Thank you. Mike Iburg, Head of Investor Relations, you may begin.
Mike Iburg: Welcome to Poly's financial results Conference Call for the Third Quarter of fiscal year 2022. My name is Mike Iburg, Head of Investor Relations, and joining me today are Dave Shull, Poly, President and CEO, and Chuck Boynton, Executive Vice President and CFO. The information presented and discussed today includes forward-looking statements which are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The risks and uncertainties related to such statements are detailed in our most recent 10-Q, 10-K, and today's presentation and press release. You should also refer to the materials we provide today for an explanation of the non-GAAP financial measures discussed on this call, along with the reconciliation of those measures to the nearest applicable GAAP measures. These non-GAAP measures are indicators that management uses to provide additional meaningful comparisons between current results and previously reported results and as a basis for planning and forecasting future periods. All of our earnings materials are posted on our Investor Relations website at investor.poly.com. With that, I will now turn the call over to Dave.
Dave Shull: Good morning from California, and thanks for joining us from wherever you work. In the context of continued supply chain pressures, Poly delivered solid financial results. The headline numbers are GAAP revenues of $410 million, while the demand for Poly's products remains incredibly strong. We recall that last quarter our backlog increased $60 million sequentially. During this third quarter, backlog grew an additional $59 million with increases across each of our main product categories. I will talk more about the specific demand trends and supply chain constraints we've seen shortly. Adjusted EBITDA was $47 million, and non-GAAP EPS was $0.57. Gross margins were 44.5% and would have been in excess of our long-term target of 50%, but a combination of product mix and continuing supply chain pressures in particular inflated component and freight costs continued to create temporary pressure. As we look forward to the year ahead, despite ongoing and challenging supply chain issues, it's hard not to be excited about the opportunity in front of us. From our perspective, the pandemic essentially created a 3-phase demand cycle.  Phase 1, which many of you will remember, meant everyone stole their kids headsets and ran to the local retailer to buy whatever webcam they could find. This Phase benefited a certain kind of company, those companies making commoditized gear with already established retail and e-tail distribution channels, that's not Poly. Phase two, which I had personal experience with, saw us come to fully appreciate that, working from home sounds like a luxury, until your dog sees a squirrel and starts barking like crazy during your board meeting. During this phase, we realized we needed tools, not toys to do our jobs. High-quality products, noise locking, acoustic fencing, and pro-grade optics. Poly makes professional gear. And during this phase, we saw robust sales of headsets and personal video solutions. Phase three is where we are now and it's where Poly excels. Phase three is the permanent entrenchment of hybrid work. A return to office MS simultaneously anticipate and accommodate remote participation in every meeting, conversation and decision. Poly's core value derives from the expansion of hybrid work. As more organizations reincorporate office time back into their operations, Poly will increasingly benefit.  That's because if the pandemic created a set of temporary pressures, it also set in stone a permanent change in the way we work. Importantly, we don't think the future work is binary. A choice between fully remote workforces versus everyone back in the office. The future of work is hybrid, which is to stay for any given workforce, some percentage of folks will be remote, some percentage of the time, while the balance will be in the office. These percentages can and will shift but the simple truth is that, the future of work will almost always involve at least one person out of the meeting room, and one person in it. At the same time, the pandemic accelerated and amplified two trends, in communications and collaboration that Poly had already identified as key secular shifts. First, every company will move communications to the Cloud. And second, every meeting will move to video. The demand implications are huge because it represents a massive generational shift in collaboration and communication spending. It is what I have characterized internally at Poly as the demand super-cycle. The reality is that return to the hybrid office means a long-term, durable shift in the demand profile for Poly's products and services.  The world's biggest banks, healthcare systems, manufacturers, professional services firms, and governments need to completely overhaul their legacy communications infrastructure. They know they need to be ready for hybrid work taking place inside and outside the office using modern Cloud-based collaboration solutions capable of operating on multiple platforms. For decades, traditional on-premises competitors had a stranglehold on the world's biggest accounts as these customers were effectively held hostage to a single hardware architecture, supporting the single proprietary communications platform. Almost overnight, all that legacy equipment went from being a competitive moat, to being a Millstone. And the CEOs, CIO s and CTOs at these companies are calling us, because they need to replace it. They're throwing it all out. They want modern cloud collaboration equipment that works every bit as well on Teams as it does on zoom or Google. Poly has the best enterprise grade, platform agnostic solutions for any business seeking to ready itself for cloud collaboration and our customers know it. Right now, when I talk about the hundreds of millions of dollars currently in our backlog. That's exciting but it doesn't begin to capture the magnitude of the opportunity.  These big accounts, what we call Franchise Accounts, are currently already in Poly solutions for hundreds of conference rooms and proof-of-concept exercises. But this is just the start. They have thousands of rooms that needs to be built out. These enterprise accounts don't want to buy just off-the-shelf webcams. They want complete solutions and a support system, including monitoring and room insights, which we provide through our Poly Lens platform. And at services offering such as Poly + that wraps all the installation, maintenance, and upgrade support they need into one simple package. For the first time in years, Poly is set to when these franchise accounts. We have dedicated enterprise account executives who have sold into the Global 2000 for decades. A worldwide services team. And we have the product features and quality to win these accounts. This demand super-cycle is a global phenomenon. We are seeing it as we engage with our own customers and through the massive reach of our key partners like Microsoft and Zoom, with whom we go to market to provide integrated communications and collaboration solutions. We continue to make progress in forging these valuable partnerships in markets that we believe will make a significant contribution to our growth and profitability. One major initiative or highlight is our relationship with Tencent as we seek to expand our presence in China. For context, years ago, China was a strong market for Poly, one in which we had tremendous revenue growth and significant market share. A combination of trade pressures and a focus on local vendors serve to cut that share in half over the past five years. However, as with the demand drivers we see in other markets, businesses and government agencies in China are now starting to make investments in upgrading their communications infrastructure to Cloud-ready video. Hansen is leading the shift to cloud-based communications and collaboration in the Chinese market. And our partnership with them, starting with certification and ultimately leading to an integrated go-to-market strategy will make Poly an organic part of Tencent's communication ecosystem. This partnership is still young, but has every opportunity to deliver meaningful growth for Poly as it develops.  As strong as the demand side of the equation is, at the same time, it's no secret that businesses everywhere remained challenged by supply chain constraints and disruptions. Our backlog tells the story. While we're excited to see so much demand growth, we are frustrated because we want to fill our customers orders sooner than we currently can. Our supply chain team is doing extraordinary work to deliver improvements. Examples include product design to ensure that from inception, our new products can be built efficiently with readily available and modern components The product redesigns we discussed last quarter are on track, with most of them scheduled for completion this spring and summer. Our recycling and refurbishing initiative is also working. We've already taken in approximately 15,000 devices from customers and we're in the process of refurbishing and redistributing them to customers in need. Those that can't be refurbished are recycled. A win for our customers, for us, and for our ESG initiatives. We've been as transparent as possible about our business and our challenges with investors on this front and we'll continue to be. The number of suppliers where we have challenges has decreased substantially to just a handful. The potential benefit from improvements with these suppliers is spring-loaded remarkably and in some cases just a few $100,000 of components would unleash tens of millions of dollars in revenue. We're working very closely with these suppliers to understand their FAAB plants alternative component qualification options and so on. We've been as transparent as possible about our business and our challenges with investors on this front and we'll continue to be. I'm confident we'll resolve these issues, it's only a question of when. As we look forward to the year ahead, we see improvements both in the supply chain and from our responses to it. That make us confident we can deliver growth. We'll offer formal annual guidance next quarter. However, we see a realistic path to mid-single-digit top line growth next year. We expect supply constraints to continue to impact the first half of fiscal '23 with accelerating revenue in the back half driven by product redesign, demand tailwinds, and significant backlog. For our partners, customer, suppliers, and everyone at Poly, there's a lot to look forward to. Thank you for your time and now let me turn to Chuck to review our financials in more detail.
Chuck Boynton: Thanks, Dave, as mentioned at the top of the call, we're seeing a wave of demand that we expect to last for several years. Our original business model pre -pandemic was focused on capitalizing on the move to the cloud, providing solutions and services that integrated and complemented our cloud-based alliance partners. The slope of that demand curve dramatically steepened when the pandemic struck significantly increasing sales of our headsets and personal video solutions. Today, using Dave's terminology, we're entering the third phase of demand with a shift toward return to office and hybrid work. This is a once in a generation shift, it's similar to mobile phones or VOIP adoption. Our confidence in this demand cycle is based on the growth we've seen in both our backlog and sales engagements. Unfortunately, demand across many product lines far outstrips our current supply but this will improve. As we said last quarter, we don't know precisely when these supply constraints will ease, but we have high conviction they are temporary, and will either be resolved by increased supply or our product redesigns, which are well underway.  As a result, we continue to balance strategic investments with profitability to ensure that when a supply chain issues abate, we are in a strong position to win. Now on to the numbers. Our GAAP revenue was $410 million, a year-over-year decline of 15% primarily due to component shortages and Studio X video bars, desktop phones, and wireless headsets. Similar to last quarter, the net result was a significant increase in backlog at quarter-end. Each of our major product categories declined year-over-year primarily due to supply constraints, which also impacted services revenue. Service contracts also sit on the sidelines waiting for the products to ship before we can begin recognizing revenue. As a result, we expect a decline in service revenue to moderate, as we work down the backlog. As expected, gross margins declined sequentially driven by product mix, increased logistics costs, and higher prices for spot market purchases. Given the current supply and logistics situation, including inflationary pressures, we have implemented a price increase across many of our product lines. This price increase will help offset the continued margin pressure we've seen over the past several quarters.  Although the full effect of this increased won't be realized until the September quarter, because we are protecting our customers who have current orders in backlog. We felt it was necessary to make these adjustments in order to protect our profitability going forward. In addition, we continue to rely heavily on airfreight and according to the Baltic Exchange airfreight index rates on many routes out of Asia are up over 50% in the last six months and continue to climb. Although we don't know when airfreight rates will ease, as the supply situation improves, we will look for opportunities to move more product on the water. This should improve our gross margins over time. My last comment on gross margins, is that we still see a path to 50% plus gross margins. As freight normalizes, component supply improves and product responds are completed, we expect to move back up into the low fifties where we were pre -pandemic. In fact, this Quarter, without the temporary cost increases, margins would've been over 50%.  And the recently announced price increases, reinforces our conviction. Operating expenses of a $144 million were down 8% year-over-year, primarily driven by lower variable compensation and cost savings from restructuring. Operating income was $38 million and adjusted EBITDA was $47 million. Non-GAAP EPS was $0.57 and benefited from a true-up of the expected full-year tax liability, which creates a negative tax rate and favorable EPS impact. As we expected, we'd a large number of shipments in the 13th week of the quarter. When adjusting for in-transit inventory that had not yet reached our channel partners, channel inventory sequentially declined as demand continues to outstrip supply across most of the portfolio. Our liquidity position is strong. We recently amended the undrawn revolver to give us more cushion in our leverage ratio, as we work through the supply chain dislocation. Operating cash flow was flat this quarter due to an increase in working capital. With $200 million of cash and short-term investments, our undrawn revolver and no near-term debt maturities, we are comfortable with our liquidity.  Turning to guidance. As you may recall, last quarter we moved away from quarterly guidance and instead provided guidance for the full fiscal year of '22. Today, we are tightening the ranges on our full-year outlook for fiscal '22. We expect GAAP revenue to be within the range of $1.675 to $1.7 billion. Adjusted EBITDA to be within the range of $220 million to $230 million, non-GAAP diluted EPS to be within the range of $2.45 to $2.65. We expect an effective non-GAAP tax rate of 7% to 9% and 44 million shares outstanding. We will provide formal guidance for fiscal '23, including margins and profitability on our next call. I'll now turn the call over to the Operator to begin Q&A. Operator.
Operator: . Our first question is from Meta Marshall with Morgan Stanley. Your line is open.
Meta Marshall: Great. Thanks. Maybe a couple of questions for me. One, you noted some of those services revenue, weren't able to recognize because of lack of availability of new products. And I guess I just assumed a lot of that services revenue is attributable to the old Polycom business or just any sense of kind of when we look at that services business, how much we should think is. attributable to new versus runoff products. And then maybe second question. Just any context for backlog and how much of that is cancelable versus non-cancelable. Thanks.
Dave Shull: Thanks Meta, good to hear from you. On the backlog, generally, all of our contracts are non - cancellable. There's some rotation allowed, so I wouldn't say a 100%, but for the most part, backlog is booked in non - cancellable. On the services revenue side, there's still -- we haven't disclosed the exact percentage, but there's still a reasonable portion of backlog from the Legacy video gear. Now, that Legacy video gear is being upgraded to our new in-room video systems X30, X50, X 70, G7500. And the issue that we're seeing on the maintenance side and the support side is that the backlog is so high that we can't ship the products. When the product is shipped then we will get the service attached for a lot of those products and that will help in the services revenue. Last quarter, we outlined about a 4 to 6 quarter window where we thought services would start to asymptote and then decline and then start to grow again. I think that's probably still holds today, maybe it's a year. We should see a small reduction, but we need to clear the backlog to get the new products out in the field to start generating service revenue.
Meta Marshall: Great, thanks.
Dave Shull: Thank you.
Operator: Thanks, Meta. Our next question is from Amit Daryanani with Evercore. Your line is open.
Amit Daryanani: Thanks a lot for taking my question. Good morning everyone. Perhaps to, as well, I guess. First off, on the gross margins are look at it. We had about 44.5% gross margins of the board to talk back 50% plus potential up is the way to think about the fiber and 50 basis points at Delta call but will be here. How much of that was driven by mix issues versus supply chain dynamics in the quarter period.
Chuck Boynton: As Dave mentioned, I think I covered it as well. On the proforma side for the quarter, if not for freight and PPV and whatnot, we would have been over 50% this quarter. So the entire Delta below, where we posted and 50% is driven by these transitory costs. And so the -- we have the price increase that will certainly help going forward because some other costs are increasing, but the mix definitely had an impact. You'll note video shipments were down significantly, because the chip shortage and a lot of that is the new video gear that has very, very high margins. So when the chip supply abates we'll ship a lot more video that will help mix up gross margins. And certainly freight and PPD will abate over time. And so we're very confident that we'll be in that low-to-mid fifties overtime.
Dave Shull: Amid at a very, very high, this is Dave at a very, very high level, I think about the seven points of Delta versus our targets right now and be a little bit less precise, perhaps some Chuck might be. But I think roughly 3% of that is tied to freight, 3% as tied to purchase price variances and maybe 1% is tied to sort of factory loading. So that's kind of -- in my mind sort of the rough 7% Delta that we had between where we're at and where we should be at in terms of targets here.
Amit Daryanani: Perfect. That is really helpful. Could you just follow-up on this dynamic a bit more, can you quantify the price increases you're implementing? And could that alone, provided us good stickiness to that obviously gets you back to the 50% kind of run rate.
Dave Shull: It's not going to close the gap from where we are today. We'll need to have freight, move products back to the water, etc. We have not quantified the price increase. We did not increase prices on all products. We're very focused on gaining share in key markets and key products, and we're extremely focused on regaining lost share and gaining new share. And so in some of those products, we have really good margins and so it's not every product and every market, but it's pretty broad base price increase.
Amit Daryanani: Finally, I'm just squeezing, Dave, you talked about mid-single-digit growth for next year, I believe. Could you perhaps stack that up a little bit in terms of what you want us to see across the different product categories? In very specific, you talked a little bit about video that would be helpful for the next year?
Dave Shull: Sorry, I missed the last -- the last question there. Specifically in terms of? Video?
Amit Daryanani:  what I see on the -- Yeah, thank you.
Dave Shull: Yeah. I think video is definitely the growth engine for the company. To be clear from a backlog point-of-view, all three categories are up. Voice, video, and headsets. But in terms of where I see the biggest demand is really on the video side and it's tied to sort of the, tip of the iceberg concept that I outlined where people are doing these proof-of-concepts and they're excited to roll it out to thousands of rooms, but what's in the backlog today is a 100 and 200 rooms as sort of a proof-of-concept and so I think that's a fairly long-term durable trend on the video side, and it's really supply constrained, which is frustrating those are good margin products, the X30, X50, X70. And a very high demand. On the voice side, we're seeing a remarkable resurgence on the phone bounce-back. We talked about this in the past. Really tied to I would say, S and Bs and going back, wanting to throw out their old PSTN lines. You will see that voice is down this quarter on a quarter-over-quarter basis. It looks like about 10%, 11%. That is purely supply constrained. There is a very, very significant uptick on the voice phone side. Longer-term. I think I said this before in the past. I don't think it goes back to where it was pre -pandemic, which is about $90 billion a quarter.  But I do think it bounces back pretty substantially between where we're at today, $53 million back between here in $90 million. And then on the headset side, we're at 195 for this quarter in terms of overall headsets. And we've talked about that run rate 190, 200 being a fairly good run rate for the business. I think that remains the case. We are seeing a fair amount of uptake in headset demand in places like APAC, because of some of the delays of returning to the office, but I think the 195, 200 range on the headset side feels pretty good, but we are seeing a pretty significant shift mix within the headset category, which is there's a lot of backlog tied to our Bluetooth and DECT headsets. And that goes back to the three phases of demand that I talked about, where there's really a premiumisation happening on the headset side, which is good from a margin point of view. Does that address the demand questions?
Amit Daryanani: Yeah, that's very helpful. Thank you.
Operator: Our next question is from Paul Silverstein with Cowen, your line is open.
Paul Silverstein: Got a little bit confused. Posted on the previous responses. Specifically, you're talking about video as Ziff demand hadn't been strong and now you're seeing an uptick in maybe always impending careful enough attention previously, but that was not invested during that, I thought I've heard. Throughout the past from any Quarters  still doing was demand was very strong for the supply was in there to satisfy that demand. Again, I'm sure you think something different today that you're seeing this new found uptick. And I just want to make sure I understand. And along the same lines can you offer us -- can you quantify orders backlog specifically to extent video is the key driver as it has been -- as it will be going forward. And once that's changed, what was the growth in backlog from video? What was the growth in your order book for video? And finally, again, I apologize if this is no longer an issue, but for 2 or 3 quarters, you had cited specific challenges in Europe. Is that now a thing of the past? Can you update us on what's transpired? What's going on in Europe now and going forward, or this problem's fully rectified? And then I've got that one final question. Thanks.
Dave Shull: Hi, this is Dave, let me hit some of them and then Chuck may follow-on with some additional color here. First of all, on the Europe question. Europe is up 19% quarter-over-quarter. I would say we're seeing a rebound in Europe and it's really across the board in all three product categories, which is encouraging to us. They as with the rest of we're trying to figure out the timing of return to office tied to Omicron, but we're seeing a demand uptake and we're also seeing a healthy pipeline tied to that for the next couple of quarters as well. I would say to answer your question directly, we're encouraged by what's happening in Europe. To specifically address the question on video, I guess what I would characterize is demand is accelerating, so therefore it's been good and its getting higher. We don't see any sort of reduction in the pace of demand on video is probably the most accurate way to address that. Does that make sense? So yes, it's been good for a while and it's not slowing down at all, if anything, it continues to accelerate.
Paul Silverstein: Dave, again, can you all share with us any quantification of the order book and video backlog, any metrics that speak to that acceleration?
Dave Shull: Sure. So basically, as you think about backlog, it had about $60 million of growth quarter-over-quarter, and we don't want it to grow to be clear. Backlog is way higher than what the normalized rate should be. Typically, in the backlog, you have the deal business. Video is a little more than a 1/3 of our overall backlog. Headsets are a little higher and desk phones are a little lower. But if you look at the ratio of revenue to backlog, desk phones are way, way too high. And that's because of the chip shortage. So the video backlog grew faster I think than the overall backlog grew. So we saw a pretty strong expansion of video backlog. And it's beyond that what Dave mentioned is we're doing these proof-of-concepts. We're winning deals. And then there are orders going out and it's not -- the entire company is not booking all of their 10,000 rooms all at one time, they are booking 100 rooms. So these franchise wins is really the critical part. Now, I know your next question is, is order -- is that demand perishable? I don't believe it is in video. We need to supply those to meet our customers demands. But I think we feel quite good about what we're seeing in the response in the market. And I think the backlog is it's not great. We wish it was 30% of what it is today, but we're fighting through it. So Paul, let me give you one more metric which maybe helps to answer your question specifically. So, of the $60 million increase in backlog, 1/2 of that came from video, quarter-over-quarter. So represents about 1/3 of the total backlog and 1/2 of the increase came from video.
Paul Silverstein: All right, I appreciate that. I'm going to take my last question offline. Thanks, guys.
Operator: Our next question is from Greg Burns with Sidoti and Company. Your line is open.
Gregory Burns: Good morning. Just following up on the video a little bit further. In terms of market share shifts, have you seen any change in market share? Have you been having the supply constraints hurt you in any way, in terms of market shares, this kind of a broad-based, industry-wide issue where everyone's dealing with the same kind of supply constraints?
Dave Shull: I think at a high level, we -- for the various reasons that we've had in the past, I think we were hit pretty early on by supply constraints and we articulated pretty transparently to see what was going on. We are starting to see more broad-based impact on our competitors as well. And so, I think at this point we're pretty confident in the video space. We're maintaining market share. We're probably holding market share, but maybe not gaining on the headset side. And we're flat to slightly exposed on the phone side because of some lower-end competitions.
Gregory Burns: Okay. And then in the headset business, I know you were upgrading or adding some new product lines like the speakerphones and I think maybe there was some of your competitors that have had success with some true wireless, have a form factors. So where are we at in terms of kind of filling out your product portfolio on the headset side of the business.
Dave Shull: Two separate products. The Sync product is doing well. The Sync 20, Sync 40, Sync 60, again, we think that's a couple $100 million opportunity that our competition has been executing in, and so we're seeing some share gains there, which is great. And on the headset side, the over the year, Bluetooth headsets and DECT as, as I mentioned they're doing very well. They represent a pretty significant part of that headset backlog for both us and the competition. And then we haven't yet announced anything specific on the true wireless side, but I think what we've said publicly, as we continue to explore it, and whatever we put in the market is definitely going to be differentiated and sort of winning in the enterprise.
Gregory Burns: Okay. And then lastly, you mentioned enterprise is shifting more of their communications to the Cloud. And I know in the past, you had talked about maybe a Device as a Service offering, is that still something you're looking at? And maybe you just give us an update on that initiative if it's still something that you're considering.
Dave Shull: We're looking at it, we're doing it right now through a series of partners. So, we do Device as a Service through Zoom, and we have some volume there and then a couple of our distributors are also working with us on Device as a Service. I would say it's not our first priority, but is definitely something we continue to monitor, but we're trying to do it as much as possible in a way that's not a distraction to the core, which is to make sure that we're really solving this hybrid meeting situation in large conference rooms, which is where we're seeing our enterprise customers want to go first.
Operator: Okay? Alright, thank you. Our next question is from Paul Chung with JPMorgan. Your line is open.
Paul Chung: Hi, and thanks for taking my question, so just on the OpEx levels, nice execution there. Are there cuts that are temporary that come back as we think about '23. And then if you could expand on your marketing approach, how it's evolving, Red Bull is quite a high profile there. How are you tracking the return on investments there?
Chuck Boynton: Certainly, I'll take the first one and Dave can take the Red Bull. So OpEx is a little lower than run rate right now because of, we're having some supply challenges. So variable comp, commissions, bonuses were holding back on some of the discretionary spending. As we --as revenues go back up to the normalized rate you know a lot higher than where they are today, we'll see OpEx grow, but not linear with revenue and it's the spring-loaded model that we talked about. So I would expect next quarter there will be a little bit of an increase in our back just because like the FICA reset and all the normal calendar year-end things. And I would assume that OpEx is going to go up $6, $5 million depending on how the quarter. If we get a lot of supply and we're really have a really strong higher quarter, it'd be a little higher, and if it's a tougher quarter, it'll be a little lower, but I think that it's appropriate now for where the revenue is and as revenue grows, OpEx will grow slower than revenue and margins will grow.
Dave Shull: On the marketing side, I'm really focused on sort of a two-pronged approach, right? That my first target is the Global 2000. And if there's five buyers for each of those accounts that really, really matter. Whether it's 10,000 people that we're really targeting. And so we were saying how do we break through with thought leadership around hybrid meetings. I think there's huge demand at the CIO level for us to have real solutions and comprehend our point of view on that. And so we're making sure that we break through to that very, very targeted audience. And so Red Bull, especially outside the U.S. is very much in that mantra. It's a cutting-edge technology company, innovative. They're winning, which is phenomenal drives the survivor.  I don't want to watch every single season of drive to survive, and so the awareness is growing within the U.S. as well. And so I think it's a good way of balancing the cost of marketing with reaching exactly that targeted audience. And then the second prong of the two-pronged approach and marketing is sort of the professional grade gear that's being purchased directly by the employees. And there we're pushing very, very hard on the e-tailing and the high velocity channel. But that's sort of a secondary motion to make sure that we're first winning in the Global 2000 because we think that pulls through on this Franchise Accounts space has really sort of pulls through volume on both sides of the equation.
Paul Chung: I got you. And then last question on the $0.10 partnership, one of the new logos on your partner slides. So Apex around 15% of sales today, how do you expect this mix to kind of evolve in the coming years and any margin differences you want to point out? Thank you.
Dave Shull: Yeah. I have been really encouraged actually by the early days with Tencent, I mean, we've sold a lot of our traditional on-premises gear into China over the years. But to see it bouncing back so quickly as the government agencies and the businesses start to look at the Cloud has been really encouraging. I think it's too early to say how big it's going to be, but the activity that we're seeing from a pipeline point of view is pretty remarkable. So that's why we're highlighting that here. Tencent, obviously is a massive company, hugely successful in China, and we'll see how it develops. Poly -- especially Polycom still has a very good reputation in China. That's sort of top end gear for the biggest Chinese insurance companies and gas utilities and so on. And so I think there's some really interesting opportunity and we're starting to see Asia-Pac bounce back from a pipeline point of view, right. It's not yet showing up in some of the revenue numbers, but I would say the return to office has happened in a bit more plea in some of the markets than in others, so.
Paul Chung: Great. Thank you.
Operator: We have no further questions at this time. I will turn the call back to the presenters for any closing remarks.
Dave Shull: This is Dave, I really appreciate everyone taking the time to join us and I look forward to talking to you all again soon and exciting times ahead. Thank you, all.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.